Operator: Welcome to Lee Enterprises Third Quarter 2014 Quarterly Conference Call and Webcast. The call is being recorded and will be available for replay beginning later this morning at lee.net and also by telephone at the same dial-in number. This is a listen-only call. Several analysts have been invited to ask questions at the end of the planned remarks. If you’re accessing this call by webcast you may submit typed questions on the screen. Those questions will be answered during the call if time permits. Otherwise you will receive a response later. Now, I will to turn the call over to your host Carl Schmidt, Vice President, Chief Financial Officer and Treasurer.
Carl Schmidt: Good morning. Thank you for joining us. With me on today’s call are Mary Junck, our Chairman and Chief Executive Officer; Kevin Mowbray, Vice President and Chief Operating Officer and Paul Farrell, Vice President-Digital Sales. Earlier today, we issued a news release with preliminary results for our June quarter. It is available at lee.net as well as at major financial websites. As a reminder, our discussion today will include forward-looking statements that are based on our current expectations and are subject to certain risks, trends and uncertainties that could cause actual results to differ materially. Such factors are described in our news release this morning and also in our SEC filings. Also, during the call, we will reference certain non-GAAP financial measures. Reconciliations to the relevant GAAP measures are included in tables accompanying our news release. We’ll also report changes in revenue and cash cost excluding the impact of a change to fee-for-service arrangements with our carriers that requires a reclassification of delivery costs resulting in a grossing up of both revenue and cost. This reclassification has no impact on operating cash flow or operating income. Now, to lead our discussion is our CEO, Mary Junck.
Mary Junck: Good morning, everyone. We very much appreciate your interest in Lee and thank you for joining our call. As I hope you’ve already read, Lee turned in another good quarter. The big story for Lee continues to be our ongoing strong growth in digital revenue and audiences. We grew digital advertising and marketing services revenue 13% to $19.5 million with mobile advertising revenue up 25% to $1.9 million. Digital now accounts for 17.7% of total advertising and marketing services revenue. Total digital revenue which also includes subscription and digital businesses increased 17.4% to $23.4 million. Digital now accounts for 14.3% of total operating revenue. The strong digital growth helped our overall revenue trends continue to improve. Total revenue from advertising and marketing services decreased $3.2 million to $110.3 million. Total operating revenue decreased 2.3% versus a year ago to $163.1 million, excluding the fee-for-service reclassification, total revenue decreased 3.4%. Also during the quarter, our digital audiences continued to grow at a double-digit pace versus a year ago, up 11% to 23.1 million unique visitors in June 2014 accessing 211 million page views. Also in the quarter we began launching full access subscriptions and are now live in 14 markets. Reception so far has been quite positive and Kevin will provide an update in a few minutes. As you know, March 31, Lee completed the refinancing of $800 million of debt extending maturities to 2019 and 2022. We’re proud of that accomplishment. The long-term financing significantly extended the average maturity of Lee’s debt more than seven years and it provides a substantial runway for continued aggressive de-leveraging. Cost of implementing the refinancing charge to expense resulted in a preliminary loss for the quarter of $0.19 compared with earnings of $0.03 a year ago. However, on an adjusted basis, excluding the cost of refinancing and other unusual matters, earnings per diluted common share totaled $0.11 compared with $0.06 a year ago. As I noted, at the outset another good quarter for Lee. Now, Kevin will review our progress implementing full access subscriptions.
Kevin Mowbray: Thank you, Mary. Since April, we’ve launched full access subscriptions in 14 markets. The larger markets include Madison Wisconsin, St. Louis Missouri, Billings Montana, Northwest Indiana, Bloomington Illinois, Lincoln Nebraska, Tucson Arizona and Davenport Iowa. With one subscription, subscribers can access our unique content across every platform the Daily and Sunday newspaper, our desktop and mobile site via PC, smartphone, tablet or app. Early results are better than expected. And some of our early launches, more than 20% of our print subscribers have already activated a digital subscription. A key to the good response has been the extensive promotion launched at kick-off across our print and digital platforms through newspaper columns, news stories, blogs, e-mails, videos and websites. Our message has resonated with readers who tell us they understand the indispensable value of our local news, advertising and information we provide. Although we’re just getting started, digital subscription revenue increased 116% in the quarter, largely due to full access. We plan to complete the roll-out to about half of our markets by the end of the fiscal year in September. Because of the timing of the rollouts and the subscriber renewal dates, we expect the bulk of the increase in revenue from this initiative to be realized in 2015. Even so, and although it’s early, we consider revenue results so far to be very promising. Mary?
Mary Junck: Thank you, Kevin. We’re very pleased with our progress rolling out full access. As we discussed our digital ad growth was very strong in the quarter and here is Paul Farrell, to review several key digital advertising and initiatives.
Paul Farrell: Thank you, Mary. As Mary noted earlier, digital revenues continue to grow at an exceptional pace. We are especially pleased that the sharp year-over-year gains attributed to several key sales initiatives launched earlier this year. Most notable are the sizeable gains realized in the digital display business. Our largest digital revenue category as our sales people approving increasingly adapt at leveraging a variety of runoff site, targeted and network media to drive advertiser share and overall performance. We have also stepped up our sales management process for driving total impressions sold, average rate and sell-through in every lead market, step which has created big gains across our system and some healthy internal competition. Another notable element of our display performance has been the increased reliance by sales people and customers at leveraging the power and local audience strength of high impact ad units, such as homepage takeovers and other rich media executions. We have placed increased emphasis on driving inventory sellouts of these desirable units during key retail periods such as the 4th of July and soon back-to-school. We continue to pace well for our audience and reach extension products. Our customers continue to desire more sophisticated and targeted media options in tandem with local media campaigns executed through our owned and operated sites. The most popular offerings include network in hyper-local mobile as well as the advanced audience targeted, built-in by various behavioral groups, demography or job titles. These pacing of mobile revenues, has always been strong but growth rates in Q3 were particularly impressive. We attribute the sharp increase in pacing from Q2 to our customer’s increasing reliance on the substantial increases of our local mobile audiences, improved pricing power and the strong acceptance of a recently launched mobile big-ad unit. Finally, our programs for small and mid-sized businesses anchored by our amplified digital product line experienced strong growth as our recently altered packaging designed to include several new lead generation tools has improved the value of each transaction and customer retention. Those are the headlines for Q3. At this point, I’ll pass the speaker phone to Carl.
Carl Schmidt: Thank you, Paul. Mary, Kevin and Paul have covered the revenue highlights. I’ll try to fill in the rest of the story. For the June quarter, our cash costs were down 2.7% as reported. Year-to-date those costs have decreased 4%. In the June quarter, our cash costs without the fee-for-service reclassification were down by a greater amount 4.1% and 4.6% year-to-date as detailed in the table in or news release. Reclassification impact in the June quarter was $1.8 million, and we expect it will grow for the remainder of this year and extend into 2015. And we’ll continue to provide with and without comparisons for analysis purposes. Based on the results in the June quarter, we are reaffirming our full-year cash cost guidance of down a range of 3% to 3.5%. This range is exclusive of the cost reclassification. In our June quarter, our operating cash flow decreased 1.2%, slightly improved from the year-to-date change of down 1.6%. Operating income was up 6.2% for the quarter due largely the lower levels of amortization of intangible assets. And both our operating cash flow and operating income margins continue to increase. Unlevered free cash flow increased more than 25% in the quarter due in part to the timing of receipt of our Federal tax refund from last year as well as lower pension contributions compared to the prior year. This result continues are now nearly six-year stretch of strong cash flow results. Free cash flow decreased compared to the prior year and was actually negative, solely due to the timing of refinancing expenses. Absent those, free cash flow would have increased 75%, a substantial change as cash interest expense also continues to decrease. Debt increased $2 million during the quarter as the extra $32 million we borrowed on March 31, certainly after the beginning of this quarter to pay refinancing cost was almost entirely offset by $30 million of payments since that time. Our debt, net of cash was 4.66 times adjusted EBITDA at the end of the June quarter. We remain committed to aggressive debt reduction and expect to continue to use substantially all of our cash flow towards that end. One final note, you may have noticed that the interest payments on our senior notes debt are payable in March and September, that amounts to $19 million twice a year. The timing of those payments will cause principle reductions on debt to be more variable going forward. And we benefited in the amount of $9.5 million from the timing in the June quarter with the opposite effect expected in Q4. Interest on all our other debt is payable at least quarterly. And that concludes our remarks. Now we’re ready for questions. Operator, we’ll turn the call back over to you.
Operator: Thank you. (Operator Instructions). Our first question is coming from the line of Avi Steiner.
Avi Steiner – JPMorgan: Thanks guys, and good morning. I may have missed this in the opening remarks. But from reading the release right, looks like you grew national in the quarter, and I wonder if you can discuss that. It seems to be a little bit of a different trend, certainly relative to what we’ve seen?
Mary Junck: Yes, this is Mary. It is a little bit different than the trend. And it is attributable to in our case is we’ve been really very, very successful with growing national digital revenue. And we’re up substantially in that category, which more than offset the declines on the print side.
Operator: Our next question is coming from the line of Barry Lucas. Your line is now open.
Barry Lucas – Gabelli: Thank you and good morning. I just have a couple, starting on the operating side. Mary, your digital people, either one, what are the differences have you seen in – if any in small market versus the largest St. Louis and Madison’s in the world in terms of digital acceptance and/or digital revenue generation?
Mary Junck: Why don’t I lead off and then I’ll ask Paul to amplify. Up and down the line from our largest market to our smallest market, our customers are increasingly – our advertising customers are increasingly interested in digital advertising and using our digital products. So that’s I would say across the board. The second thing though is, bigger the market, the more sophisticated our advertisers are in the more digital competition there is. But up and down the line, our growth has been actually strong everywhere. Do you want to add to that Paul?
Paul Farrell: Yes, I mean, that’s particularly true not just in a display business but in our mobile business as well. The acceptance of mobile and all its incarnations is really quite widespread across our company.
Operator: (Operator Instructions). We have reached the end of our question-and-answer session. I would now like to turn back the floor to our management team for any closing remarks.
Carl Schmidt: Okay. Well, we do have one question that came in over the web. And this one is for Mary, the question is what is the long-term outlook for the resumption of a dividend?